Operator: Good morning and welcome to Lazard’s Full Year and Fourth Quarter 2020 Earnings Conference Call. This call is being recorded. [Operator Instructions] At this time, I would like to turn the call over to Alexandra Deignan, Lazard’s Head of Investor Relations. Please go ahead.
Alexandra Deignan: Good morning and welcome to Lazard’s earnings call for the full year and fourth quarter of 2020. I am Alexandra Deignan, the company’s Head of Investor Relations. In addition to today’s audio comments, we have posted our earnings release and an investor presentation, which you can access on our website at lazard.com. A replay of this call will also be available on our website later today. Before we begin, let me remind you that we may make forward-looking statements about our business and performance. There are important factors that could cause our actual results, level of activity, performance or achievements to differ materially from those expressed or implied by the forward-looking statements, including but not limited to those factors discussed in the company’s SEC filings, which you can access on our website. Lazard assumes no responsibility for the accuracy or completeness of these forward-looking statements and assumes no duty to update these forward-looking statements. Today’s discussion also includes certain non-GAAP financial measures that we believe are meaningful when evaluating the company’s performance. A reconciliation of these non-GAAP financial measures to the comparable GAAP measure is provided in our earnings release and investor presentation. Hosting our call today are Kenneth Jacobs, Lazard’s Chairman and Chief Executive Officer and Evan Russo, Chief Financial Officer. We will provide opening remarks and then we will open the call to questions. I will now turn the call over to Ken.
Kenneth Jacobs: Good morning. Today, Lazard reported strong results for the fourth quarter and full year 2020. We achieved record quarterly operating revenue. Financial Advisory had a record quarter with strong performance across practices and regions. Asset Management’s fourth quarter revenue increased 12% and achieved a record year end level of AUM. We entered 2021 with significant momentum as we serve clients positioning themselves for a post-pandemic recovery. In Financial Advisory, our M&A activity progressed throughout 2020. Our global announcement volume increased 3% even as the markets volume declined 10%. This reflected strong activity in both the U.S. and Europe. In particular, our volume of French and UK announcements increased 34% and 37% respectively from the prior year. Our preeminent global restructuring practice continued its work on a wide range of complex assignments. In 2020, Lazard ranked number one in the league tables for completed restructurings globally. As we anticipated, the pace of new restructuring assignments in Europe increased. Our sovereign capital and private capital advisory businesses all had strong years as we advise governments, corporations and partnerships on financing strategy and capital raising. Our private equity secondaries business continues to grow and we are advising on a significant number of growth equity investments globally. We continue to see opportunities for growth in Financial Advisory and have increased our pace of lateral hiring. In 2020, we recruited 12 new managing directors globally, plus 2 more in January of this year. In addition, we are promoting 15 new managing directors in the Financial Advisory this month. 10 of them began their careers here as analysts or associates. Our ability to develop talent organically remains a powerful competitive strength. Our Asset Management business also had a strong fourth quarter, with higher management and incentive fees, reflecting AUM growth and the performance of our strategies. Our assets under management increased by $31 billion or 14% from the start to the finish of the fourth quarter. Our investments in new strategies and product extensions continue to create new avenues for growth. Our quantitative business achieved net inflows for both the fourth quarter and full year as did our global equities and our global and multiregional fixed income platforms. We are also seeing an increase in solutions-oriented mandates as we serve more clients with customized strategies. We continue to invest in Asset Management’s growth through investment in people, technology and distribution as well as the development of new funds and the scaling up of existing platforms. In 2020, we introduced eight new strategies for clients across our traditional and alternative platforms. Three of the strategies are from independent teams we recently recruited. As the asset management industry undergoes a wave of consolidation, we see substantial opportunities to accelerate our recruitment of talent and investment teams, adding strategies that are complementary to our existing platforms. We also continue to build our talent pool from within. This year, Asset Management will name 7 new managing directors in its annual promotion process. Firm-wide, Lazard’s record results for the quarter underscore the strength of our diversified business model, our global platform and our deep culture of client service. We entered 2021 with momentum across our businesses. We see substantial opportunities for growth in both Financial Advisory and Asset Management and are investing to capitalize on them. Evan will now provide some color on our results and then I will comment on our outlook.
Evan Russo: Thank you, Ken. Lazard’s full year and fourth quarter results reflect the stability and continued high performance of our businesses. Our fourth quarter operating revenue of $849 million was a record quarter for the firm, 20% higher than last year’s period. Fourth quarter adjusted earnings per share of $1.66 increased 82%, reflecting the significant operating leverage in our model. Annual revenue of $2.5 billion was about even with 2019, representing a strong recovery from the volatile environment of 2020. Our Financial Advisory business had a breakout fourth quarter, with record quarterly revenue of $509 million, which is 23% higher than our previous peak level in 2018. The compelling story behind Financial Advisory’s record quarter is that it was driven by strong contributions across our advisory practices and across regions. Our revenue performance demonstrates the earnings power of the diversified advisory business we have built. In Asset Management, this story was similar as we generated $336 million in revenue for the fourth quarter, up 12% from the prior year. This reflected contributions across our global platforms with accelerating momentum in a year of extreme volatility. Fourth quarter management and other fees increased 10% sequentially from the third quarter, reflecting higher average AUM. Fourth quarter incentive fees were up substantially from the prior year, primarily reflecting strong performance in our alternative strategies. Average AUM for the fourth quarter was $246 billion, up 3% from last year’s period and up 9% from the third quarter of 2020. The sequential increase was driven by market appreciation of $25.4 billion and foreign exchange appreciation of $5.8 billion partially offset by net outflows of $0.3 billion. For the full year, we experienced net outflows of $11.4 billion, primarily in our value strategies within emerging markets and local equities. Platforms with net inflows for the year included global and quantitative equities as well as our global and multiregional fixed income strategies. We finished 2020 with AUM of $259 billion. And as of January 28, AUM was approximately $258 billion. The decrease was driven by foreign exchange depreciation of $1.3 billion and net outflows of $1 billion partially offset by market appreciation of $1.3 billion. Looking ahead across our franchise, in Financial Advisory, client activity is strong across our advisory practices globally in an improving environment. Asset Management is off to a good start in 2021 with AUM well above its average level for 2020. We have a strong pipeline of unfunded mandates. We continue to see demand for both our quantitative and fundamental strategies across our platforms as well as growing demand for our sustainable and customized solutions. Turning to expenses, our compensation ratio for 2020 on an adjusted basis was 59.5%, up from 57.5% in 2019. On an awarded basis, our annual compensation ratio was 59.8% compared to 57.7% for 2019. The increase reflected our investments for growth as well as the change in business mix this year. We are maintaining our cost discipline while we navigate a volatile market environment. Non-compensation expense of $117 million in the fourth quarter was 10% lower than the same period last year, primarily reflecting a continuation of global travel restrictions and lower business development costs. Our adjusted non-compensation ratio for the fourth quarter was 13.7% and the ratio for the full year was 17.1%. As business activity picked up in the fourth quarter, we saw commensurate rise in non-compensation costs especially related to variable expenses. Our effective tax rate for 2020 was 20.2% compared to 24.1% a year ago. For 2021, we expect an annual effective tax rate in the low to mid 20% range. Regarding capital allocation, our business continues to generate significant free cash flow, which supports our goal of returning excess capital to shareholders. Throughout the year, we have been consistent in returning capital through our quarterly common dividend. In the fourth quarter, we returned $51 million of capital to shareholders. Yesterday, we declared a quarterly dividend on our common stock of $0.47 per share. In 2021, we have resumed our share repurchase program in order to at a minimum offset dilution from our year end equity grants. Our total outstanding repurchase authorization is now $267 million. Lazard’s financial position remains strong with ample liquidity and balance sheet flexibility. As of December 31, our cash and cash equivalents were approximately $1.4 billion. Ken will now conclude our remarks.
Kenneth Jacobs: Thank you, Evan. A few words on our outlook before we open the call to questions. In the near-term, the macroeconomic outlook remains uncertain based on the ongoing health crisis. However, fiscal and monetary stimulus in developed countries and the rollout of vaccines globally are driving expectations of a recovery by the second half of this year. Both of our businesses are already benefiting from growing optimism in boardrooms and investment committees. In Financial Advisory, the forces driving global strategic activity have accelerated. Technology-driven disruption continues to be a catalyst for M&A across industries. Shareholder activism has resumed its growth after a brief pause during the first half of 2020 with increasing impact in Europe. The rapid growth of SPACs, alongside strategic and private capital, adds substantial dry powder to the M&A market. In addition, climate risk is becoming increasingly relevant to company valuations and is an emerging catalyst for strategic activity. Our ESG expertise is well entrenched in our Asset Management business and increasingly in our Financial Advisory business as well. In Asset Management, the expectation of low interest rates for the foreseeable future is a tailwind for our business. Investors’ need for income and return is driving increased demand for risk assets, including equities and corporate and emerging market debt as well as alternative investments. In addition, institutional investors are seeking sources of differentiated alpha, including ESG, thematic and alternative strategies. We are in an excellent position to meet this demand with a world class investing franchise in markets that reward deep fundamental research and our quantitative strategies are competing effectively in the market for low-cost products. We see substantial opportunities for growth across our businesses and we continue to invest in our people, capability and technology infrastructure to enhance our competitive edge. We remain focused on serving all of our clients well, while we manage the firm for profitable growth and shareholder value over the long-term. In closing, I want to thank my Lazard colleagues for their dedication and commitment during the past year. In one of the most challenging environments in modern history, they rose to the occasion serving our clients with outstanding financial advice and solutions and reinforcing this great franchise. I am proud to work with them. Now, let’s open the call to questions. Thank you.
Operator: Thank you. [Operator Instructions] We will take our first question from Brennan Hawken from UBS. Please go ahead.
Brennan Hawken: Good morning. Thank you for taking my questions. I was curious if you could talk – and Ken, I think you spoke a little bit about it in your prepared remarks indicating that the pace of new restructuring mandates in Europe is picking up. Could you maybe help us contextualize Europe in the context of your restructuring business and then also maybe get a feel for how the restructuring – the size of the restructuring business is as a percentage of your advisory as we just think about the next few years? There was a competitor who said that the pace of restructuring revs should start to slow in 2022 or return to normal. It sounds like given your new mandates that you flagged that wouldn’t be the case for you, but if you could just maybe flesh that out a little bit, that would be great? Thanks.
Kenneth Jacobs: Sure. Let me provide some context and maybe Evan can add a little bit as well. Look, restructuring in 2020 was a very strong year for us and obviously for a number of our competitors as well. For us, at least a lot of the restructuring mandates in 2020 were companies which were already facing difficulties prior to the pandemic and weren’t able to benefit from the massive fiscal and monetary stimulus that we saw in the first part of – in the middle of last year and that was the primary pipeline for restructurings in 2020. And again, you saw that was a lot around retail and around the fossil fuels industry. The level of activity started to dip a little bit towards the second half of the year as financing became widely available. We still expect going into 2021 a reasonably decent restructuring environment and defaults are obviously at a low level right now in the United States. Financing is widely available. But still the pipeline is still okay for going into 2021 better than obviously a normal kind of strong M&A year. We would expect to see a normal strong M&A year. For us, we expect 2021 there will be a pickup in restructuring in Europe. There was not as much in Europe in the first half of 2020. We expect the first half of 2021 to be a little bit better in that regard, a little bit more activity and then probably the second half in Europe as well. And so that’s kind of the context and frankly a lot has to do with what’s going to happen with rates over the course of the next year or so and availability of financing. I mean, there are lot of companies that have taken on quite a bit of debt during this period of time and there is going to be a need for some refinancing as we get into next year and the year afterwards and a lot has to do with availability of capital and whether or not those particular industries are in recover.
Brennan Hawken: Great. Thanks for that color.
Operator: Thank you. We will take our next question from Devin Ryan from JMP Securities.
Devin Ryan: Great. Good morning, everyone.
Kenneth Jacobs: Hi, Devin.
Devin Ryan: Hi. So, just a question here on investment banker productivity, I appreciate maybe it’s more of an output than an input. But how are you guys thinking about the potential for productivity moving forward? I appreciate last year some businesses were probably hitting at a higher level than they have been at in a while, while as others as you mentioned were probably more depressed and started to accelerate. So I am trying to just kind of contextualize all of that together, the potential for productivity relative to 2020. And also, it does sound like there is a large promotion class as well, so how that affects things. And again, I appreciate it’s maybe more of an output, but how you guys think about the potential for productivity gains?
Evan Russo: Hey, Devin. It’s Evan. Let me address that. So, starting with the way we think about productivity and I agree with your statement, it’s more of an output than an input. And the way to think about that is really in the context of a portfolio. At any point in time, you have got existing longstanding bankers we have here who are very, very productive. You have got the incoming class as you mentioned that are going to take a little bit of time to reach their full productivity. So, it’s sort of over a lifespan that you think about productivity. You also have differences geographically and the actual production you are going to get out of any specific MD. But you also have to think about it in the context of the different types of products and services that we have been building upon and building out over the last few years. And so it’s sort of not the same as always, right. We, our bankers, have more tools in their tool chest today that they can utilize with clients to generate fees. And so, ultimately, what we are seeing is a further opportunity to expand the revenues that they are going to be generating on productivity, eventually, productivity per banker and per MD certainly that we are seeing across the franchise. And so that’s a continuing evolution. We are going to continue to see that to grow. You have heard us talk a lot about the different products and services we have been growing and adding to over the last few years. And you saw that play out I think a little bit over the course of this year when even when the M&A transactional market took a stall sort of at the beginning and middle of the year, you saw some pretty healthy numbers in revenue across the business and that wasn’t only driven by one area product of revenue through restructuring. Some of it was through capital markets, capital raising, all sorts of capital structure advice as well as shareholder advice and other types of advice that we provide companies. So, I think it’s sort of a portfolio approach depending on what is in the environment that day. Our goal is to provide as many capabilities as we have so that our bankers have a great set of tools to utilize with their clients to help them, to help our clients first, but also to generate fees for the firm.
Devin Ryan: Okay, terrific. I will leave it there. Thanks, Evan.
Operator: Thank you. And now we will take the next question from Michael Brown from KBW.
Kenneth Jacobs: Hi, Michael.
Michael Brown: Hi, good morning guys. So, I wanted to start on the Asset Management business. We certainly have seen the consolidation trend they are heating up and you have certainly noted that in your prepared remarks. In your remarks, you said the opportunity to recruit talent and teams to complement the platform also is looking more attractive. Can you expand on that? Where are you kind of focusing on growth? What are those areas that you are targeting here?
Kenneth Jacobs: Sure. So obviously, there is quite a bit of change going on in the Asset Management landscape. One of the things we have identified as significant source of opportunity for us is the landscape of smaller firms, call it smaller asset management firms with a couple $1 billion, $3 billion or less under management, smaller teams, hedge funds that may have long-only strategies that could have a couple of hundred million under management. There are literally hundreds if not thousands of these firms out there. Increasingly, it’s difficult for many of these firms to raise money because of additional complexity around compliance, narrowing of managers that – and capital users will trust their capital with, cyber technology issues. And so we see an opportunity to pickup these teams. We have had a lot of success with that last year and we think there is a lot of opportunity to do it going forward. And for us, the key is finding teams that fit on our platform, making sure that we have got capacity to really help them raise capital and also make sure that they fit in and plug and play into our capabilities from a technology standpoint. As you know, we have spent quite a bit in the last few years in terms of upgrading our technology platform and part of it was to accommodate this kind of growth. So we are pretty excited about this. And as you can see, we did 3 last year. We have got a pipeline of things to come and several of our new strategies we launched this year reflect some of those investments.
Michael Brown: Okay, very helpful. Thank you.
Operator: Thank you. And now we take our next question from Richard Ramsden from Goldman Sachs.
Richard Ramsden: Okay. So, good morning everyone. Maybe I could ask a question on operating margins. So you saw obviously a significant improvement in the non-comp margin in the fourth quarter and for the full year. You are towards the lower end of the range. How should we think about the trajectory for that in the first half of the year? So, if we see a more buoyant revenue environment, if the return to office is slower, which seems to be the case, should we expect that you will operate towards the lower end of your 16% to 20% range at least for the first half of the year or are there investments that you are planning on making that are going to keep you closer to the middle of that range?
Evan Russo: Hey, Richard. It’s Evan. Let me start with that. I think the way you think about it, as you pointed out, non-comp this year was obviously at a lower level. And this reflects the lower T&E and business development as well as some other discipline on costs that we had through the course of the pandemic and really heightened when we saw the slowdown at the beginning of this year, but a large driver of the decline in non-comp this year truly came from lower T&E. Offsetting that, as you mentioned, was the continued focus we have on technology, which was up year-over-year. And we expect that to continue to grow as we continue to invest in technology for some of the reasons that Ken just mentioned before, but also areas that we think are super, super important to us. So I think as you think about non-comp for the coming year, I think you are starting with a lower T&E base. If I kind of look out, hard to predict where that goes. But certainly Q1, probably Q2 was going to be at a much more diminished level, probably similar to where we were at the end of 2020. I guess all hope is that where the economy goes back to normal and the environment goes back to a more normalized pace as we get into the latter half of 2020 to 2021, and so it starts to creep back up more towards normalized levels. But I think the way we think about it is you’re starting from a lower point, you’re certainly getting some cost savings associated with T&E. Every quarter, it does grow a little bit, and it’s hard to predict where it’s going to be going forward. Longer term, I would say it’s going to ramp, but probably a little more slowly. And ultimately, if you kind of think out beyond 2021, we expect that there’ll probably be some additional benefits in T&E to persist, probably maxes out at somewhere of 70%, maybe 80% of pre-COVID levels. So we simply developed new ways to engage with our clients, new ways to execute transactions. We’ve learned that a lot of efficiencies to be gotten from things that we are constantly traveling for, we can do now by video, which is more efficient for clients as well as for the transaction themselves. Ultimately, we hope that – client interaction is critical for our business. It’s a hallmark of who we are at Lazard. And we’re going to continue to get back on the road to meet face-to-face with clients. It’s probably just the pace and the frequency you’re going to change, which will create some efficiency. So I think longer term, I think there’s certainly benefits on the non-comp side. In the shorter term, there is definitely benefits from lower travel in the first half of this year and probably drifts back up as you get towards the second half of the year and technology investments is going to continue to remain a focus for us. We are focusing on efficiencies to create a better work environment for our people, creating better remote tools, continuing to invest, as Ken said before, in the infrastructure, the edge, the creation of edge in our business and, of course, security. And look, I leave you with it. It’s important to remember, and I don’t think we can stress this enough that we think done right, technology investment is going to lead to an enormous competitive advantage and ultimately should lead to long-term value creation. So I think it’s going to continue to focus. We are going to continue to reinvest some of the savings of T&E into that. But hopefully, we will be somewhere in the lower part of our range, maybe towards the middle end of our range as we get through the year.
Richard Ramsden: Okay, thank you. That’s very helpful. Thanks a lot.
Operator: Thank you. Our next question comes from Steven Chubak from Wolfe Research. Please go ahead.
Steven Chubak: Hi, good morning.
Kenneth Jacobs: Hi, Steven.
Steven Chubak: So I had a question on capital management. Should we think about 2021 as more of a catch-up year for share repurchase activity given more limited repurchases this past year, strong capital cash position at year end, no near-term debt maturities or should we expect the pace of buyback to accelerate and is getting back to that 100 million share count still your ultimate goal?
Evan Russo: Hey, Steven. With regards to cash, as you mentioned, look, we were at an elevated cash position this year. We ended the year with about $1.39 billion of cash, which is up about $150 million, $160 million from where we were at the same point last year. Look, I think it’s important to remember, as you know, is that this point is generally the high point of cash that we have at this point in time of the year. It’s right before we pay out year end compensation. So ultimately, the cash levels will come down after Q1. But ultimately, as we said, we’re going to be continuing, as we announced, we’re going to continue to buy back some shares in the first part of this year to a minimum to offset the dilution from the year-end compensation awards and will thereafter to be using some of the excess cash to buy back shares. I think as we have said before, we continue to want to take a little bit more of a conservative approach to capital management in this environment as we sort of come out of the pandemic. Certainly, the volatility tells us we should be a little bit more prudent than we would normally be to the last dollar of the way we manage the balance sheet. So we’ll probably be running at a slightly higher cash levels than we’ve had in the past. But I would expect that we’re going to continue to buy back shares, more than offsetting dilution as we get towards the middle of the year to take down the share count from where we started the year this year, by the end of the year.
Steven Chubak: That’s great. Thank you so much for taking my question.
Operator: Thank you. We take our next question from Jeff Harte from Piper Sandler.
Kenneth Jacobs: Hi, Jeff.
Jeff Harte: Good morning, guys. Congrats on a nice quarter.
Kenneth Jacobs: Thanks.
Jeff Harte: And sort of going back to operating kind of margin and leverage a bit, so I mean, it was a record advisory quarter, maybe a record quarter. And 27% operating margin is good. But I look back kind of to the beginning of 2019 it’s been kind of low 20s. As we look forward, can you get back to the mid- to upper 20% operating margin range? And I guess if so, what’s the timeframe and what gets you there?
Evan Russo: So Jeff, I think the way to think about margin is really over the quarter. It’s all going to be related to revenue growth, right? When you think about where we have historically gotten margin benefits on both the comp and certainly on the non-comp side, it comes from a rising revenue environment for us. And so when we put together a good strong year of revenue, you’re generally going to see better margins than you’ve seen in the past. And more importantly, when you put together 2 or 3 years in a row, then we can get to more of the levels that we’ve seen, if you kind of look at ‘17 and ‘18, where we were at the higher end of our margin targets for our firm. So really, it comes down to revenue growth. It’s offset by the investment cycle. So if you’re investing more heavily, that will weigh in a little bit onto some of that margin. But ultimately, it’s going to be driven by the revenue growth that we’re going to produce, not only on a 1-year basis, but on a couple of year basis.
Jeff Harte: Okay. Thank you.
Operator: Thank you. And we’ll take our next question from Jim Mitchell, Seaport Global Securities. Please go ahead.
Jim Mitchell: Okay, thanks.
Kenneth Jacobs: Hi, good morning.
Jim Mitchell: Hey, just maybe on Europe, going back there. I appreciate the comments on restructuring, but how are you thinking about the M&A environment overall? I mean if you think about Europe the last 10 years, it’s really lagged the U.S. Now that we have, I guess, in theory, some greater clarity on Brexit, do you feel like that’s poised for some pent-up activity or is it just depressed there, just trying to get a sense of the European outlook? Thanks.
Kenneth Jacobs: Sure. So you are right, I mean relative to the U.S. activity levels in the U.S. have been much more buoyant over the last decade than in Europe. U.S. has exceeded its peaks in ‘07. Europe is still lagging that. Our expectation is it should be a pretty constructive environment for M&A over the next couple of years in Europe for the same reasons as the U.S., maybe perhaps at slightly less levels of buoyancy again. You’ve got low interest rates. You’ve got actually more reasonable equity valuations in Europe. I think you have an improving confidence level, but not so much optimism, but about one’s ability to kind of have confidence in their prediction about the future, which is a real driver. And the same technological disruption that is sweeping across industries in the United States is happening in Europe as well. So the factors that underlie M&A are very similar in Europe and the U.S. And I’d even say on that last factor, the technology disruption is probably even more acute in Europe than it is in the U.S. And then on top of that, yes, Brexit helps a little bit. There is more clarity about the structure of the market, both in the UK and on the continent. And you’re likely to see over time some regulatory changes that make it a little bit easier to have champions on the continent and that could drive some M&A activity as well. But that’s got to be balanced against some of the elections that are upcoming in some of the nationalism and protectionism that goes with that. But overall, we’ve seen a very buoyant market in Europe for private equity. That has been quite active, both on the continent and in the UK. So I think a lot of the features of what drives the market in the U.S. is in Europe. Obviously, we’re a big beneficiary of a pickup as you saw in last year. I think it was roughly a 35% increase in both our UK and French announcements, and that should continue over the course of the next couple of years.
Jim Mitchell: Alright. Great. Thanks.
Operator: Thank you. We are taking the next question from Gautam Sawant from Credit Suisse.
Gautam Sawant: Good morning. Can you provide us an update on the opportunity to launch additional ESG-focused product or customized product for clients and if incorporating ESG financial adviser will help you differentiate activity from your peers?
Kenneth Jacobs: Okay, great question. It’s a real focus of ours at the moment on both sides of our business. Let me come at it first from Asset Management. We have been, I think, one of the leaders in driving sustainability in our investment practices. Our goal is, in the first instance, to make sure that all of our fundamental managers have access to the tools that allow them to evaluate and to price and to research companies and understand the impact of ESG in the investment and make it part of the investment process. That’s part one. Part two is the launch of sustainable funds, which we’ve done and then making sure that we’re constantly upgrading our expertise in this area on the Asset Management side of our business. On the advisory side, many of the capabilities we have in Asset Management are an understanding that we have in Asset Management reporting over to the advisory side of the business. Our shareholder advisory practice has incorporated many, many of these insights into the advice we’re providing companies and the tools we’re using to help guide companies in their conversations with shareholders. And increasingly, we expect this is going to become a very important part of the advisory function for companies when thinking about acquisitions. Taking into account climate, many of the issues that are raised by climate and valuation is going to become increasingly important in the future, thinking about how it impacts cost of capital across industries and, in particular, companies is going to become increasingly important in the future. We think this is a very important area for focus going forward.
Gautam Sawant: Thank you.
Operator: Thank you. And now we are taking our last question from Manan Gosalia from Morgan Stanley.
Manan Gosalia: Hi, good morning. You said today and you said in the past as well that a significant number of unfunded mandates across the Asset Management platform. I was wondering, can you give us some sort of a comparative update on maybe what percentage of prior quarter mandates have been funded or what do your pipeline look like relative to prior quarters? And any comments you can make on what your gross inflows look like this quarter as of the prior quarters and what the kind has been? Thanks.
Evan Russo: Yes. Manan, I think with regards to – I’ll handle the second part first. With regards to gross flows, gross flows remain pretty active, pretty strong for us this past quarter. I think we’ve seen that higher level of gross flows for a couple of quarters now where it’s trending. It’s trending well. What’s nice about it is also the diversification of that, those flows itself coming into a lot of different products on a gross flow basis. So we are really starting to see a bigger pool of number of our funds starting to see some gross flows. I think when you think about the pipeline going out we are still at an elevated level. We have a nice group of unfunded mandates. You saw some of that come through in Q4 when we had several months of positive net flows. So you saw some of that buildup starting to wear off, starting to come through the pipeline itself. We’re still at what I’d call more of an elevated pace, perhaps not as much as we were a quarter or two ago. And it’s also a little bit more spread out now. So it’s a little bit of some is into Q2 or into more of the middle of the year from what we know of today. But it’s a very active environment. We’re involved with a lot of new situations, new investors looking to put some money to work in different strategies, a lot of the various strategies that we’re focused on, a lot of interest in our quant and thematic type products that have been going on as well as some of the other areas around sustainability. So I think we are seeing a lot of interest in putting capital to work, in different types of funds. We’re certainly seeing a little more interest in the value part of the equation of the investor base as well, which we hadn’t seen for a little bit part of the early part of last year, certainly, when we started to see a lot of money coming out of value, which portray is good for us longer term given the concentration of value funds that we have in our portfolio. So I think overall, I think it’s the diversification of the mandates that we have. The size is still pretty good, but it’s a pretty diverse group of funds of unfunded mandates that we have.
Manan Gosalia: Great. Thank you.
Operator: Thank you. There are no further questions at this time. This now concludes the Lazard conference call. You may now disconnect.